Operator: Good afternoon, ladies and gentlemen, welcome to the Agilysys Fiscal 2014 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder today’s call is being recorded. Some statements made on today’s call will be predictive and are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act Of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially. Important factors that could cause actually results to differ materially from these in the forward-looking statements are set forth in the company’s report on Form 10-K and 10-Q and news releases files with the Securities and Exchange Commission. I would now like to turn the conference over to your host, Mr. Jim Dennedy, President and CEO.
Jim Dennedy: Thank you, John, and good afternoon everyone. We appreciate you joining us on the call today to review our fiscal 2014 fourth quarter and full year results. With me this afternoon is our Chief Financial Officer, Janine Seebeck. Before we get started, just a quick reminder that we’ll be discussing some non-GAAP metrics on today’s call, primarily adjusted operating income from continuing operations and adjusted income from continuing operations, which eliminates the effect of restructuring another items that are either non-cash or non-recurring. Reconciliations to GAAP metrics are provided in the financials of the press release issued earlier today. 24 months ago, we implemented a strategy to align our future, to the needs of the hospitality industry. The cornerstones of our strategy focused on emphasizing strong capital discipline while simultaneously prioritizing the continued engineering and development of our solutions to deliver innovative way for our customers to maximize their connections to their guests, grow revenue and operate more efficiently. Over the last two years, we have made consistent progress with our execution on these key principles as we have evolved our product portfolio including our mobility products to better address our customers’ current needs and has similarly evolved our sales efforts and organization to better serve our customers. We've also made consistent progress with the development of our next generation platform. A product set that we believe will demonstrate our clear understanding of how technology solutions can benefit hospitality operators across many areas at their enterprise. I believe what a tremendous advantages Agilysys has possessed is our willingness to involve and listen to our customers and to turn feedback into value added solutions. This key competency will serve us well going forward. In terms of market focus following on the earlier divesture of our Retail Solutions Group, we recently announced the sale of our UK business entity to our former Europe based management team. Under the terms of the sale, they will distribute InfoGenesis, Eatec and Workforce Management or WMx across EMEA with exclusivity in the UK. To be clear, we will continue to manage our property management system customers as well as key global accounts in EMEA market. With that, let me comment on the results for the fourth quarter and full year followed by a review of our growth and investment initiatives. As a reminder, all the financial information we will review on the call reflects results of our continuing operations. We are pleased with our results for the fourth quarter as well as for the full year. Total net revenue for the fourth quarter increased 26% to $27.8 million while the full year net revenue rose 8% to $101.3 million, reflecting annual growth rate above the 5% to 7% annual rate of growth for the industry. It is important to highlight that recurring revenues which are comprised of support; maintenance and subscription services, rose 11% to $14.1 million for the fourth quarter and rose 8% to $53.2 million for the full year. Recurring revenues also continued to rise as a percentage of our total sales, representing over 51% of fourth quarter net revenues and over 53% of full year 2014 net revenues. This is an important metric, because recurring revenues not only reflect the stability and strength in the business as they provide for additional visibility into future financial performance, but also it offers clear evidence of the success on growing long-term relationships with our customers, which in turn will help generate additional value in our business for our shareholders. On the expense and investment front, we remain committed to strong capital discipline, including the thoughtful use of our balance sheet; efficient use of our working capital; and strict management of operating expense. Quarterly operating expenses which include product development, selling and marketing, general and administrative and depreciation expenses increased year-over-year by approximately 5%, but declined as a percentage of net revenue to 69% from 83% in the prior year period. Our fourth quarter and full year results reflect Agilysys’ core strategy, maintaining capital discipline and pursuing the highest value growth opportunities. The growth in our overall revenue, recurring revenues and gross profit reflects the significant strength in long-term stability, which better positions us to continue to capture strategic opportunities in our core and adjacent markets. During our fourth quarter fiscal 2014, we reorganized our sales and marketing function under a new Senior Vice President of Sales and Marketing. As part of the evolution of our sales efforts to better serve our customers, we added the function of a business development executive to specifically target net new logo business. We also invested in the capacity of our existing account executives and major account executives to further develop business with our more than 3,000 existing customers to focus on increasing the percentage of multiple product customers. During the fourth quarter of 2014, we also reallocated the expense associated with our marketing activities to improve our insight into the key segments we intend to more fully exploit and add critical skills to assist in the launch of our next generation platform application later this fiscal year. In order to better serve our customers, we have also realigned how we address the end markets we serve through these changes in the sales and marketing organization. We have group the end markets we serve in the four principal segments. Gaming, both corporate and tribal; Hotels resorts and crews; group service management and resorts, universities, stadium and healthcare. We believe these changes will provide incremental opportunities to grow our customer base and increase the percentage of multiple product customers. Turning now to our segments, the commercial and tribal gaming segment continues to perform very well for us, representing approximately 55% of our total revenues. Casino operators need reliable technology solutions automating critical processes use to deliver exceptional guest service. Our customers recognize and trust that we can help them to better understand to serve their guests, which will increase customer loyalty and repeat business, while generating maximum long-term revenue. This is reflected in the new wins we achieved every quarter. The fourth quarter of fiscal 2014 was no exception as we announced that Caesars Entertainment, the world’s most geographically diverse casino entertainment company selected InfoGenesis as its enterprise wide point of sales solution. Since Caesars already employed our LMS property management solution and Stratton Warren System inventory and procurement solution, increasing the presence of InfoGenesis into all the food and beverage and retail locations at their properties will enable them to improve the cross property guest experience and business performance. We also furthered our relationship with the Chickasaw Nation in Oklahoma as they selected LMS and InfoGenesis for their Winz Star World Casino and Resort in [Factoryville], Oklahoma. This is a great example of our ability to gain new business with existing customers using multiple products as the Chickasaw Nation was already using LMS and InfoGenesis at its other casino and hotel properties throughout the state. The hotel resort and crew segment representing approximately 21% of our total revenues, offers a significant growth opportunity for us both in United States, as well as internationally as the locking sector is expected to see continued improvement in occupancy rates and revenue per available room. We see growth in the Asian markets where business is expected to remain strong. Our fourth quarter results and recent announcements reflect this opportunity. Casa Ybel Resort in Sanibel Island recently selected the Visual One Property Management System to enhance operations and provide superior guest service at its 114 suite destination property. And Resorts World Bamini selected both LMS and Visual One Condo Accounting System to streamline operations to provide comprehensive condominium management at the 480 unit Bahamas Resort scheduled to open in June. In the highly competitive cruise segment, cruise operators must implement technology that enables them to streamline operations, while creating lasting connections with their guests. This is reflected in our recently announced agreement with Royal Caribbean Cruise Lines to deploy InfoGenesis on their two newest ships; Quantum of the Seas and Anthem of the Seas. This brings the total number of Royal Caribbean vessels that use Agilysys software solutions to 35. The InfoGenesis solution with its scalable architecture, flexible configuration and superior [renovation] capabilities will enable Royal Caribbean’s two newest ships to operate peak efficiency and deliver the five star guest experience for which the company is known. We see continued opportunity to increase our market share and foods service management, which represents approximately 14% of our total revenues as evidenced by our recent customer wins including Banner Health and State University of New York [skill]. We are delivering an array of best of breed solutions to the foodservice industry from automated web based ordering and handheld point-of-sale tools to online inventory and procurement application to help foodservice operators improve accuracy, reduce customer wait time, increase efficiencies, enhance guest service and increase their bottom line. And in a restaurant, university, stadium and healthcare segment which represents approximately 10% of our total revenue, we continue to enjoy new customer wins like Flavors Cafe who selected WMx to enhance efficiency and reduce cost in all of its New York based coffee fresh and natural cafes. This fall is other important win such as Le Duff America, the Crazy Pita and Rainbow Room which reflect our focus to grow the restaurant vertical around the more full service establishments. And in industry where margins are tight and competition stiff, automated point-of-sale, inventory procurement and workforce management systems work together to increase staff productivity, streamline efficiency, boost profitability and enhance the guest experience. Turning next to our international business. The sale of our UK business entity at the end of the fourth quarter reflects our emphasis on capital efficiency. We will continue to address the needs of our international customers and continue to develop international end markets. The transformation of our UK business into a reselling partner reflects our belief that at this time, the best approach to international markets can most efficiently be addressed primarily through a reselling versus a direct selling model. Starting last year, our efforts in APAC began the process of developing resellers for the Asia market we serve. We have seen modest progress in 2014. However we expect greater growth from this transformation in our fiscal 2015. Turning now to our capital investment program. Our next generation products remain on track to release at schedule later this fiscal year. Consistent with the development timeline we previously discussed, we recently began private beta trials with certain members of our customer advisory board. This is an exciting time for us as our customer advisory board members are now in a position to provide even more valuable feedback on the product through limited operationally use. We expect to begin public beta testing later this summer and continue to expect that initial revenue from our next generation products will be realized late in our current fiscal year. We're also seeing some early success with our recently announced product introductions including InfoGenesis Flex, a new mobility solution that provides a sleek and modern mobile alternative, traditional point of sale solutions. As we have mentioned in the past, demand for mobility solutions remain strong for the end markets we serve. We see this trend continuing. The ability for our customer to generate increased demand by moving freely around the entertainment venue improves their guest engagement and helps them grow their business. Our sharper focus during the past two years, our revised go-to-market strategy and new product introduction are key reasons why we continue to secure new wins including achieving a consistent increase in a number of customers that purchase multiple solutions from Agilysys. More customers today use more than one of our solutions compared to a year ago. We are well positioned to be a key player in the point-of-sale evolution, which is taking a shape as real time reservation, royalty and payments converge. We have a sticky product portfolio, deep penetration in the hospitality marketplace, increasingly important strategic assets and a high level of customer service that our customers demand. With favorable market trends, a discipline approach to growth, a focused business, stronger balance sheet and improved operating structure, our investments in innovation and our collaborative business approach will lead to more opportunities to deliver an increased value to our customers. With that, I would now like to turn the call over to our CFO, Janine Seebeck who’ll review our financial results before opening the lines for questions.
Janine Seebeck: Thanks Jim. We are pleased with our year-over-year improvements in revenue and adjusted operating income, which reflect the healthy growth in product sales and recurring revenue as well as our continued prudent management of operating expenses. Before I begin, I would like to remind everyone that our fiscal 2014 fourth quarter and full year results along with historical periods presented in our press release and discussed today reflect the classification of the company’s former operations as a discontinued operation following the sale of that business on March 31, 2014 and of the former Retail Solutions Group as a discontinued operation following the sale of that business on July 1, 2013. Our fourth quarter revenue increased 26% year-over-year to $27.8 million from $22.1 million in the prior year period. The increase in fourth quarter revenue was the result of strong growth in product sales to $10.4 million which includes remarketed product revenues associated with the enterprise wide selection of InfoGenesis at Caesars Entertainment that Jim mentioned earlier. In addition included in our product revenue is an approximate 31% increase in the sale of proprietary products. We also saw 11% growth across our support, maintenance and subscription business our recurring revenue, with subscription services contributing a 13% increase over the same quarter a year ago. Moving down the income statement, while we still have peer-leading gross margins, we did see a decrease in gross margins of 730 basis points to 60% in the fourth quarter of fiscal 2014 compared to 67% in the prior year quarter. This was expected as we announced during our last quarter call, as we continue to place into service certain capitalized software access associated with recent product releases. Operating expenses, which includes product development, selling and marketing, general and administrative and depreciation expense increased 5% from $18.3 million to $19.2 million. As a percentage of revenue however, operating expenses decreased to 69% compared to 83% a year ago. Product development costs remain level at 6.5 million. Consistent with our strategy, overall spend continues to increase as we capitalized approximately $4.2 million of software development cost for future use compared to $1.9 million in the prior year period. We have discussed in the past that through fiscal 2015 we anticipate product development expenses as a percentage of revenue will be in the mid-20% -- thereafter as we complete the core development of our next generation product and begin to commercialize them that this percentage will move to approximately 20% of revenue, which is more typical for our type of business. You will notice increases in amortization of intangible expense this quarter. Similar to last quarter, these are largely the result of our long-term strategy to replace our current ERP system with a more cost effective solution that will yield additional operational efficiencies going forward. The amortization expense increase will continue until we are live on our new ERP software in the first half of fiscal 2015. As Jim mentioned earlier, we completed the reorganization within our sales and marketing teams during the fourth quarter of fiscal 2014 and as such recorded a restructuring charge of approximately $600,000. Our restructuring activities are expected to be completed in the first half of fiscal 2015 in total less than $1 million. Operating loss in the quarter was $2.6 million or 27% improvement compared to an operating loss of $3.5 million in the fourth quarter of fiscal 2013. On an adjusted basis, we saw an improvement in adjusted operating income of $1.6 million year-over-year to $1.1 million reflecting the progress we are making in our business. Adjusted income from continuing operations in the fourth quarter was $1.3 million or $0.06 per diluted share compared with an adjusted loss from continuing operations of approximately $100,000 or a loss of $0.01 per share last year. Loss from continuing operations for the quarter of $1.2 million or $0.05 per diluted share compared to a loss from continuing operations of $1.6 million or $0.07 loss per share for the prior year period. Taking a brief look at the results for the fiscal 2014, total net revenues for the full year increased 8% to $101.3 million from $94 million in fiscal 2013, ahead of the market rate of growth. In absolute dollars, gross profit improved 11% or $6.4 million to $64 million for fiscal 2014. Gross margin for fiscal 2014 was 63% versus 61% in the prior year period on the back of 9% increase in higher margin recurring revenues. Operating expenses increased 5% to $70.2 million in fiscal 2014, while adjusted operating income from continuing operations improved by $5.2 million to $4.1 million. Adjusted income from continuing operations of $4.3 million or $0.19 per diluted share for fiscal 2014 compared favorably with an adjusted loss from continuing operations of $1.2 million or a loss of $0.06 per share for fiscal 2013. This slide show loss from continuing operations for fiscal 2014 of $3.4 million or $0.15 per diluted share compared to a loss from continuing operations of $6.2 million or $0.28 per share in the prior year period. Moving to the balance sheet and cash flow, cash as of March 31, 2014 was $99.6 million and we were pleased to see improvements across our net cash used in continuing operations where we had a $1.4 million year-over-year improvement. We generated positive cash from continuing operations and adjusted cash provided by continuing operations improved $5.1 million year-over-year to $3.2 million from the use of cash of $2 million last year. Total deferred revenues, which include both paid and unpaid balances increased 20% to $31.2 million at March 31, 2014 compared with $26 million at March 31, 2013. This increase is consistent with our focus on generating increased higher margin proprietary products and subscription service sales. With regards to our NOLs, we currently have $160 million for which we can attribute a full valuation allowance and which will help us keep our cash taxes limited to taxes paid in foreign jurisdiction along with minimal state taxes for the foreseeable future. Overall, we are making great progress and remain confident in our business strategy, product offering and financial position. These results clearly point the potential our hospitality focused business hold as exhibited in our ability to deliver improved operating results and significant improvements in our adjusted operating income from continuing operations. With regards to our fiscal 2015 outlook, we expect to achieve above market revenue growth and to generate breakeven to slightly positive adjusted income, adjusted operating income from continuing operations for the full year, as we are still in the middle of our investment cycle. As we move ahead, we are excited with our planned investments to further leverage our existing client base, expand our penetration and our end markets we serve and build our portfolio. We remain confident in our business and our ability to continue making operational improvements. We've taken the necessary steps to position Agilysys for sustainable long-term growth. Our fourth quarter and full year 2014 results give us confidence that our plans are working and that we're on track to deliver on our goals. With that, I would like to now turn the call over to John for any questions.
Operator: Okay. (Operator Instructions). Our first question comes from Brian Kinstlinger from Sidoti & Company. So Brian, please go ahead.
Brian Kinstlinger - Sidoti & Company: Good evening, guys. How are you?
Jim Dennedy: Great. How are you, Brian?
Brian Kinstlinger - Sidoti & Company: Good. Wondering if you could highlight as now you have broken your business out in four segment just going to highlight the growth rates maybe in fiscal '14, which ones maybe you expect a bit stronger in fiscal '15, I assume this year we would see those the growth weighted towards gaining but maybe that’s just one quarter?
Janine Seebeck: Yes, no I think that's fair Brian. When we look at growth, what we saw this year year-over-year, we definitely a bigger growth in gaming and gaming has obviously still been biggest segment, it was about 52% last year, up to 55% this year. So that’s still the biggest, we expect to continue to see gaming to grow, but where we are really helping to see continued growth and expansion is going to be in the RUSH segment or the restaurant…
Jim Dennedy: Restaurant, university, stadium, healthcare.
Janine Seebeck: Yes.
Jim Dennedy: There is a point of strategy Brian. If you evaluate the gaming market it has more of a finite market opportunity in terms of its own industry growth with the amount of participation we experienced today particularly in restaurant, university, less so in stadium, bit more in healthcare. We see more of an opportunity to address market opportunity that we have not yet participated as fully as we would have liked in those other segments. In gaming, I think it’s going to be more round trying to take share from competition offering a better business value proposition for gaming customers to switch to Agilysys provided solutions. There is going to be more new fresh market opportunity in restaurant, universities and healthcare.
Brian Kinstlinger - Sidoti & Company: Okay. The stadium is in there too, stadium…
Jim Dennedy: Stadium is in that group, yes we call that group we prefer to it as price RUSH, restaurant, university, stadium and healthcare.
Brian Kinstlinger - Sidoti & Company: And then is the market in those right, what I mean to that is, is there a cycle, these are upgrades in this restaurant, stadium segment, is it untapped where there are not very, very old software, just maybe give us a sense for where the markets have right now there?
Jim Dennedy: Well I think you see in that particular segment with all of the components in it whether it’s restaurant, university, stadium and healthcare. The cycle, the refresh cycle is more frequent. You see that’s sort of averaging in a two to three year period. And the hotel and the gaming segments we’ve seen the refresh cycle be sort of more in the three to five year period. So, you see a little bit greater turnover or inventory turns if you will in that restaurant, university, stadium and healthcare. But I also think you see more new starts particularly in restaurants than you would in let’s say gaming and so there is more opportunity for new starts, now those deal sizes are smaller than the gaming certainly but there are more of them.
Brian Kinstlinger - Sidoti & Company: And then you haven’t touched it on the hotel resorts crews and the food management services, should we expect growth there to be a little bit slower maybe than the other two?
Jim Dennedy: I think in the core hotel market you will see our growth rate in that particular element contribution to hotel, resorts and crews be slower growing until we introduce our nextgen product. Right now the products that we have in the market whether it’s LMS or V1. On the LMS side address more of the super tanker size property and on the V1 side or Visual One side address more of a diversified offering like the hotel spa, gulf packaging that you might see in some of our Visual One customers. For the core hotel product we have not participated strongly with the property management system there although we think we have a targeted campaign to offer hotelier a much better FMB offering in our InfoGenesis, E-tech and workforce management solution combined than our competition, we are going to lead with that product offering at least in our fiscal ‘15 and you will see us leading more strongly in fiscal ‘16 and beyond with a more combined approach for the property management system in our V.NEXT product that can address the core hotel market more effectively than our other two products.
Brian Kinstlinger - Sidoti & Company: And then you in the press release and in your presentation mentioned that fiscal ‘15 growth will be better than the hospitality market. What do you use to gauge, what you expect the hospitality market is going, do you have your own assumptions; is there some kind of source that you are tracking?
Jim Dennedy: Well, as we indicated on previous call we commissioned the study from IHL and Smith Travel Research towards the end of summer in 2013. We specifically asked them to focus on these end segments that we serve. And aggregating those end segments, the growth rate we saw averaging into the future by the study from IHL and STR was in the 5% to 7% range. I think if you look at the earnings releases from our competitors in this industry, you will see that a similar rate of growth for the markets or end markets they address is the similar percentage rate of growth, it’s still in that 5% to 7% range.
Brian Kinstlinger - Sidoti & Company: Okay. And that was you said last quarter. And could you maybe talk about the trends in your two new mobile products that you talked about at the Analyst Day, what kind of bookings or revenue maybe they’re producing? I know it’s still little bit early and maybe get feedback and where you expect this contribution might be for this year?
Janine Seebeck: Yes. Sure, so I’ll take that one Brian. So obviously we are still pretty early I think when we are looking at, we’re obviously seeing good traction from a pipeline perspective, revenue itself is still pretty nominal from where we are from a bookings perspective and from a pipe perspective, we are starting to see that fill nicely. The way we are obviously going the market what that is every time we quote IG or go out or go out with it or go out with LMS, we are actually adding those things to the quote to try to drive that through as part of the strategy. So it is a component of how we think we are going to get back cross-selling and drive that strategy through as part of fiscal ‘15. But yes, it’s still too early to really say it’s generating significant impact on the results that we discussed today.
Brian Kinstlinger - Sidoti & Company: Okay. And the Caesars product contribution, will that also hit the current quarter we're in, or was that a one-time item that hit that revenue line? Should we expect lumpiness is I guess basically my question for products.
Janine Seebeck: Sure. So, obviously there was a large component of that deal that was related to the hardware there, but that -- so there was some component to that that will not repeat anything about the hardware, but obviously there is an ongoing support and software stream and the implementation costs that are baked into our assumptions for our growth rates for this year. But for purposes of modeling and thinking through it, there was some incremental if you will that hit in Q4.
Brian Kinstlinger - Sidoti & Company: And you mentioned some increased investments in fiscal ‘15. Can you highlight maybe one, two, maybe even three of where you are deploying the most capital in terms of your increased investments?
Jim Dennedy: I'll talk about two in particular, sales and marketing and then product engineering. In the sales and marketing, I think in the third quarter earnings call and I believe also in the second quarter earnings call, about yourself and Rob Moses and other investors happened to ask questions about opening net new logo business in our revenue line. And it was a project on which we were working to address expanding greater participation from net new logo business versus things that our current installed base demanded. And so this creation of the role of the business development executive as an additional layer on top of what is already a fairly, a highly effective account executive and major account executive sales force is really the new investment in the sales area. The new investment in the marketing area includes greater talent around the area of product marketing to help make our markets more aware of how specific solutions can address the unique needs in each one of these segments. And one other major addition in the marketing area and that's more around a true SaaS or cloud-based offering. So as you think about the products that we have in market today, most of it is sold as a premise based delivery. InfoGenesis has about 15 years of hosted, point-of-sale delivery, we are I think market leaders in that particularly for product that complexes as InfoGenesis sales for point-of-sale. But as we think about (inaudible) and it's primarily a SaaS based product it is and breaks true cloud architecture. The selling cadence and value proposition to the market is modestly different. And we hired a new marketing talent to the organization with that specific experience so they can contribute to the overall voice to the market. With respect to product engineering, the investment level of 2014 or fiscal '14 will look approximately the same as the investment level in 2015. However, I think you'll see more focus on select products that we think have greater market opportunity than a more uniform application of investment across all products. And to be a little bit more clear, if we're targeting on more exploiting both the restaurant and let's say the hotel markets. There are specific investments in sort of the triad we can do around point of sale, inventory and procurement and workforce management that has a trifective solution can deliver a comprehensive offering to the restaurant market, to the university market, to healthcare and to hoteliers. And what we will do for our end-market product is having completed the majority of the refactoring of Visual One. It’s going to be more around maintenance engineering and addressing specific large customer innovation requests, but more of it’s going to be around those products that are going to help us more fully exploit the core hotel and the core restaurant market.
Brian Kinstlinger - Sidoti & Company: Okay. Just two more; the first one, in the comment, which is a follow-up to the increasing sales, you’ve commented on the number of sales people you have and then with new head of sales so to speak, can you expect any disruption based on all the changes you’re making there or should it be pretty seamless?
Jim Dennedy: Well, I expect no disruption, but I don’t think that our expectation is going to be fully met. So with the new addition of Michael Buckham-White as the Head of Sales and Marketing it makes a lot of sense to me to unify the sales and marketing initiatives at a level, one level below the CEO and have an executive with experience and having done that lead that effort. We’ve retained both the Head of Sales, Tony Ross and the Head of Marketing, Beth McClure under Michael, but the effort has been unified under his leadership that also enables me to spend more time with customers. Janine and our product engineering team led by Larry on how we can more effectively deploy the balance sheet towards really kind of product roadmap advancement. So you will see probably more of my time spent in corporate development and on the area of more business development that Michael and his team will address. With the addition of this new layer as the business development executive over the top of the major account executives and account executives, we have experienced some turnover in the sales force. But more importantly, what we have added is probably 25% to 30% additional capacity in new positions created and had an overall greater selling capacity in the organization from what we expect greater results in 2015 and beyond.
Brian Kinstlinger - Sidoti & Company: When you say capacity you are looking to hire them right now or you’ve actually started...
Jim Dennedy: Yes. Hire right, we have still some and we have still open positions available to show.
Brian Kinstlinger - Sidoti & Company: And what’s your total sales headcount right now?
Jim Dennedy: Total sales headcount is…
Janine Seebeck: For product carrying it’s around the 20 range.
Jim Dennedy: Yes, we are looking somewhere -- we were around the mid-teens prior to this initiative. So we are just under 20 and the target is right around mid 20s for total product carrying sales force.
Brian Kinstlinger - Sidoti & Company: Great. Last question Jim, you have had a lot of cash you’ve talked a little bit about in the past about potentially looking at acquisitions; are you closer to deploying it, you have not seen anything you really like out there maybe touch on share repurchases? That’s my last one. Thanks.
Jim Dennedy: You got it, Brian. Thank you. Share repurchases is not something that’s currently contemplated by the business. In terms of M&A that typical we don’t comment on M&A it’s generally insufficient for investors to hear that. We have been active; we are extremely choosy. It’s not that we are extremely choosy because we just want to be. We have an experience at Agilysys of having acquired things with the technology that might be more or (inaudible) food service and aligned and that’s taken a substantial amount of investment after acquiring them to integrate them. So when I think about M&A, it’s not just the initial purchase, but it’s also what we call an acquired technology remediation plan to get the acquired technology on to the same platform as we have our current products and then also the investment expense associated with more fully developing them as we move it forward. For that we develop a very robust business plan to reach opportunity we review. It has to have prescribed return on invested capital opportunity that we can recapture not only what we invested, but a respected return on that investment as our investors would expect. So we are pretty disciplined in our approach to M&A and not just going to deploy the capital just to grow size. It’s not just size, it’s the only thing that matters. It’s the return on that investment that matters more to us.
Brian Kinstlinger - Sidoti & Company: Thank you.
Jim Dennedy: Yes sir.
Operator: Okay. Thank you, sir. (Operator Instructions) Okay. At the moment, I show no further questions. I would like to turn it back to your host for any concluding remarks.
Jim Dennedy: Thank you, John. While we believe our fiscal 2014 was a good year for Agilysys outpacing the rate of growth generally reflected in the markets we serve, we are looking forward to delivering greater value in 2015 and beyond. We are excited the progress we are making with the development of our next generation platform and believe our recently introduced [innovations] in our new solutions will help to grow our overall market opportunities. The improving outlook for the overall hospitality industry, our more streamlined business and our success in deploying capital in areas that generate attractive returns, provides a solid foundation to drive future improvements and shareholder value. Though we face tough competition, I had a great privilege to lead the strongest team in our industry. This team has built and is improving our strong solutions portfolio, the team has identified and lead to many complicated and value increasing changes and transformations in our business during the last two years. Our team has clearly demonstrated its ability to not only execute and drive aggressive productivity improving changes, but also to deliver exceptional leadership by retaining the top count we have, while recruiting and integrating additional market leading talent to the organization. Thank you all for your time and participation today. I'm sure you can get a sense for our excitement and optimism about the future and our sense of accomplishment around our past. I would also like to take this opportunity to thank my colleagues at Agilysys who are responsible for our success and the foundation for our future. I also want to express my thanks to our customers who entrust us with their business and to our partners who value our integrity. Thank you.
Operator: Okay, ladies and gentlemen, this does conclude your conference. You may now disconnect and have a great day.